Operator: Good afternoon. My name is Chris, and I'll be your conference operator today. At this time, I'd like to welcome everyone to the Facebook Second Quarter 2016 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. This call will be recorded. Thank you very much. Ms. Deborah Crawford, Facebook's Vice President of Investor Relations, you may begin.
Deborah Crawford - Director-Investor Relations: Thank you. Good afternoon and welcome to Facebook's second quarter 2016 earnings conference call. Joining me today to discuss our results are Mark Zuckerberg, CEO; Sheryl Sandberg, COO; and Dave Wehner, CFO. Before we get started, I would like to take this opportunity to remind you that our remarks today will include forward-looking statements. Actual results may differ materially from those contemplated by these forward-looking statements. Factors that could cause these results to differ materially are set forth in today's press release and in our Quarterly Report on Form 10-Q filed with the SEC. Any forward-looking statements that we make on this call are based on assumptions as of today, and we undertake no obligation to update these statements as a result of new information or future events. During this call, we may present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in today's earnings press release. The press release and an accompanying investor presentation are available on our website at investor.fb.com. And now, I'd like to turn the call over to Mark.
Mark Elliot Zuckerberg - Founder, Chairman & Chief Executive Officer: Thanks, Deborah, and thanks, everyone, for joining today. We had another good quarter and first half of the year. Our community continues to grow around the world. 1.7 billion people now use Facebook every month and 1.1 billion people use it every day. Our business is growing at a healthy rate as well. Total revenue grew by 59% year-over-year to $6.4 billion and advertising revenue was up 63% to $6.2 billion. Our results show our progress as we work to make the world more open and connected across our three-year, five-year, and ten-year horizons. Over the next three years, we're focused on continuing to build our community and help people share more of what matters to them. The next five years are about building our newer products into full ecosystems, developers and businesses. And over the next ten years, we're working to build new technologies to help everyone connect in new ways. I'll give an update on our progress across each of these areas. Starting with how we're working to deliver better experiences for our community and more ways for people to share and more of what they care with anyone they want. We continue to see excellent growth in our community. Over the past year, we've added over 200 million people using Facebook on a monthly basis. And in the second quarter, time spent per person increased double-digit percentages year-over-year across Facebook, Instagram and Messenger, and that doesn't even include WhatsApp yet. One of the biggest opportunities to grow our community is in developing countries where connectivity is less advanced than what we take for granted here at home. So, over the past couple of years, we've been making steady improvement throughout to make them work regardless of the device or connection that people are using. We've also built a lightweight version of our Android app called Facebook Lite that's tuned to work on 2G networks and is now used by more than 100 million. We're also working on new tools to help people express themselves and understand what's going on with the people they care about. Ten years ago, most of what we shared and consumed online was text. Now it's photos, and soon most of it will be video. We see a world that is video first with video at the heart of all of our apps and service. Over the past six months, we've been particularly focused on Live video. Live represents the new way to share what's happening in more immediate and creative ways. This quarter, Candace Payne's Chewbacca mask video was viewed almost 160 million times. Live is also changing the way we see politics, as news organization, delegates go live from the Republican and Democratic conventions, and we've seen in Minnesota and Dallas how Live can shine a light on important moments as they happen. This quarter we also launched 360 Photos. You don't need a special camera to take them. You just take a panorama or use the 360 cam or app on your phone and post it. And since we launched, more than 4 million 360 photos have been shared on Facebook with 1 million more being shared every week. We're making good progress on core services within the Facebook app, like search. A growing way that people use search is to find what people are saying about a topic across the more than 2.5 trillion posts in our network. Now people are doing more than 2 billion searches a day between looking up people, businesses, and other things that they care about. Continuous steady improvement in services like search are an important part of helping people connect and realizing our mission. We're also improving the experience for our community by building our business with more engaging ads. We've also emphasized the importance of measurements and value in driving real results for the businesses that use Facebook, and that means helping them create more relevant and engaging ads. Over the next five years, we're working hard to build ecosystems around some of our newer products. Instagram now has more than 500 million monthly active with more than 300 million daily. Now we're working to make that experience even more engaging. Recently, Instagram began to rank its feed because we know that people have a better experience when they see more of the stories they care about. We're already seeing a positive impact in terms of time spent and the amount of content that people are sharing. We've also introduced our advertising tools on Instagram and we're seeing marketers engage with people in creative and innovative ways. In the two years since we separated Messenger from the main Facebook app, which was a pretty controversial decision at the time, we've improved performance and given people new ways to express themselves. And now, for the first time, more than 1 billion people are using Messenger every month. I'm also happy with the updates we're making to WhatsApp, which also has a community of more than 1 billion people. This quarter, we launched new desktop apps, end-to-end encryption and millions of people are using WhatsApp's voice calling features. The scale we've achieved with our messaging services makes it clear that they are more than just a way to chat with friends. That's why we're also making it easier for people to connect in groups and businesses as well. We're going to keep focusing on this over the next several years. I'm also excited about the early progress we're making on our ten-year initiative. We're investing in new technologies to give more people a voice, including, of course, the 4 billion people around the world who aren't yet online. And we're helping more people take advantage of the opportunities that come with the internet. We're still early in our journey, lots of hard work ahead. But we're making good progress, like the first successful flight of Aquila, our solar powered aircraft that will beam Internet to places that have never been connected. Eventually, we're going to work with telecom operators and governments around the world to connect people on the outskirts of cities, rural areas, and disastrous zones where you can't get traditional connectivity today. We've also been making progress with our initiatives around artificial intelligence and virtual reality. This quarter, we announced DeepText, a deep learning based engine that can understand the context of several thousand posts per second across 20 different languages. This is a long-term project, but it also has some near-term benefits like helping show people more of what they want to see and filtering out less of what they don't want to see. We're also investing in new platforms to help people connect and share. We believe that virtual reality can help people share richer experiences and help everyone understand what's going on around the world. It's really early for us in VR, but we're hitting some important milestones. As of the second quarter, more than 1 million people a month are now using Oculus on mobile phones through our Gear VR partnership with Samsung. More than 300 apps are already available at the Oculus store for Gear VR. We filled all of our preorders for Oculus Rift and we're seeing increasing demand from retail stores planned for the holidays. While it's still early for augmented reality, we're doing AR research and are seeing lightweight versions of AR technology in mobile apps like MSQRD. So that's a recap of the progress that we're making in our ten-year plan. We have a saying at Facebook that our journey is only 1% done. And while I'm happy with our progress, we have a lot more work to do to grow our community and connect the whole world. That means making big investments and taking risks, focusing not just on what Facebook is but on what it can be. I want to thank everyone in our community, all of our teams, our partners and our shareholders for being a part of this journey with us. And now here's Sheryl.
Sheryl K. Sandberg - Chief Operating Officer & Director: Thanks, Mark, and hi, everyone. We had a great second quarter. Q2 ad revenue grew 63%. Mobile ad revenue reached $5.2 billion, up 81% year-over-year, and was approximately 84% of total ad revenue. Our growth was broad-based across verticals, marketer segments and regions. We're excited to announce that we now have 60 million monthly active business pages on Facebook. We also continue to grow the number of active advertisers on our platform. This shows that both our free and paid products are providing value to marketers of all sizes around the world. We continue to focus on our three priorities, capitalizing on the shift to mobile, growing the number of marketers using our ad products, and making our ads more relevant and effective. First, capitalizing on the shift to mobile. For 32 years, the advertising industry has gathered in (9:55) to celebrate creativity. People have shifted to mobile and marketers know they need to catch up. Mobile is no longer a nice to do, it's a must do, and we're working closely with marketers to help them make this transition. The best marketers understand that people watch video differently in mobile feeds. The goal is to create what we think of as thumb-stopping creative, videos that grab attention in the first few seconds even without sound. For example, to drive awareness for Sour Patch Kids Gum, Mondelez targeted teens with non-chocolate candy interests. Working with the VaynerMedia, Carat and the Facebook Creative Shop, they created punchy, ten-second looping videos tailored for Facebook and Instagram. The campaign helped the Sour Patch Kids portfolio beat sales benchmarks for the entire candy industry. We're excited to bring more relevant video ads to people both on and off Facebook. In May, we expanded Audience Network to include video for brand objectives. This means that advertisers can place video, brand video ads, not just on Facebook and Instagram, but across a network of apps and sites. Our second priority is growing the number of marketers using our ad products. Over a third of small businesses and medium businesses in the U.S. don't have a website and having a mobile presence is even more difficult and expensive. Creating a business page on Facebook is as easy as setting up a personal profile. This is why Facebook pages are the mobile solutions for many of the 60 million businesses using our products each month in the U.S. and around the world. We've made it easy for business owners to manage their Facebook page from their mobile device. Over 85% of active business pages use mobile, and 40% of active advertisers have created a Facebook ad on their mobile device. In Q2, we rolled out new tools to make it easier for businesses to promote posts and track performance directly from the Instagram app. We've worked hard to make becoming an advertiser as easy as possible for these businesses. With just a few steps and for as little as a few dollars, businesses can boost their posts to reach more people. Simplifying our ad products is key to advertiser acquisition. Over 80% of new advertisers in Q2 started with simplified products like boosted posts. Once these businesses begin advertising with us, we make it easy for them to take advantage of even our most sophisticated capabilities. For example, Lighting Etc., a third generation family-owned business used Facebook and Instagram ads to drive in-store sales. They targeted 25-year-old to 45-year-old homeowners interested in interior design living within 35 miles of their showroom in Fort Worth, Texas. It was striking to them that on Facebook, the size of our community meant that they could reach over 300,000 people even with such specific targeting. They've seen a 40% increase in revenue in 2016, and they attribute this increase to their ads on Facebook and Instagram. Our third priority is making our ads more effective and relevant. Our goal is to help our clients grow their businesses, whether it be moving products off shelves, driving online sales or building their brands. Our system constantly looks for the most efficient and effective way to drive these objectives. Businesses that want to build their brands need to reach a large audience with a compelling story, and they're seeing strong results from immersive formats like video and Canvas ads. Businesses working to acquire new customers need to reach high quality leads and convert them to actions. We introduced lead ads in Q1 to make it easy for people to fill out forms on mobile devices right from News Feed. In Q2, we made it possible for advertisers to retarget people who opened or completed a lead ad form. For example, Nissan Turkey and the SCM agency used lead ads to collect over 20,000 high quality leads from people interested in buying a new car. They then used retargeting to show relevant ads to people who had completed these lead ads and ultimately drove vehicle sales. The cost of a high quality lead was 9.3 times lower on Facebook than all other online media. Businesses selling products are getting search like ROI from dynamic ads. Dynamic ads allow advertisers to upload their product catalogs and target people with specific products in real-time. Over 300 million people see dynamic ads each month and over 2.5 billion unique products have been uploaded by marketers. In Q2, we expanded dynamic ads to Instagram and also launched dynamic ads for travel. For example, you can now advertise specific destinations and dates for hotel rooms. We're pleased with the value we're driving for our partners and the progress we're making across our three priorities. With only a small fraction of our 60 million business page is advertising, we have a lot of opportunity ahead. We also have a lot of hard work to do to help businesses make the shift to mobile and to drive results for our clients. I want to thank our clients around the world for their partnership and their ongoing input, which informs our product development. I also want to congratulate our global teams on the results of their hard work and thank them for their dedication to our mission. Thanks, everyone. And now here's Dave.
David M. Wehner - Chief Financial Officer: Thanks, Sheryl, and good afternoon, everyone. Q2 was another strong quarter for Facebook. Total revenue grew 59% to $6.4 billion and we generated over $2 billion in free cash flow. These results highlight the continued growth and engagement of our global community and the strength of our ads business as advertisers benefit from our increasingly broad and deep portfolio of targeting, creative and measurement tools. Let's start with our community metrics. This past quarter was our strongest in over three years in terms of absolute year-over-year growth of monthly and daily actives on Facebook. In June, 1.13 billion people used Facebook on an average day, up 17% compared to last year. This daily number represents 66% of 1.71 billion people who visited Facebook in the month of June. Mobile continues to drive our growth, with over 1 billion people accessing Facebook via mobile devices on an average day in June, up 22% compared to last year. The growth of our other services also continues to be strong. WhatsApp and Messenger now each have over 1 billion monthly actives and Instagram surpassed 500 million. Turning now to the financials. My comments today will focus on our GAAP financial metrics and all of our comparisons are on a year-over-year basis unless otherwise noted. A reconciliation of our GAAP to non-GAAP financial metrics is included in our press release and earnings slides. Total Q2 revenue was $6.4 billion, up 59%. Q2 ad revenue was $6.2 billion, up 63%. Exchange rates did not impact our overall revenue growth rate this quarter as headwinds in certain currencies were offset by tailwinds in others. U.S. and Canada, and Asia-Pacific were our fastest growing regions with advertising growth rates of 69% and 67% respectively. Mobile ad revenue was $5.2 billion, up 81%, and representing approximately 84% of total ad revenue. Let's turn to the supply and demand factors that continue to drive our growth. Advertiser demand was particularly strong in Q2 across a broad range of verticals and advertiser objectives. Additionally, supply side factors, including growth in users, time spent and ad load, all contributed to our Q2 revenue growth. In Q2, the average price per ad increased 9% while total ad impressions increased 49%. The reported increase in price was again driven by the continued mix shift towards mobile where we only show higher price News Feed ads compared to the mix of News Feed ads and lower priced right-hand column ads on personal computers. The 49% increase in total ad impressions was driven primarily by growth in ad impressions served in Facebook mobile News Feed where the majority of our ads are shown. Payments and other fees revenue was $197 million, down 8%. Remember that payments and other fees revenue largely generated from games played on personal computers, which has declined as people spend less time on their PCs. Q2 total expenses were $3.7 billion, up 33%, inclusive of $825 million of share-based compensation related expenses as well as $193 million of amortization of intangible assets. Q2 operating income was $2.7 billion, representing a 43% operating margin. We continue to be pleased with the profitable growth of the business while we invest for the long-term. We ended Q2 with approximately 14,500 employees, up 32% year-over-year. We added about 900 employees in the quarter, the majority of those in technical functions. We are seeing continued success with our efforts to hire top talent in a market that remains very competitive. Our Q2 tax rate was 26%. GAAP net income was approximately $2.1 billion or $0.71 per share. Q2 capital expenditures were $1 billion. Year-to-date capital expenditures totaled $2.1 billion, driven by investments in data centers, servers, office buildings, and network infrastructure. Facebook generated over $4 billion in free cash flow in the first half of 2016. And as of June 30, we had over $23 billion in cash and investment. Turning now to the outlook. First, some color on revenue. We have been pleased with the strength of our advertising revenue in the first half of 2016. As I discussed on our last call, while we expect the main drivers of our advertising revenue growth will continue throughout 2016, we will face tougher comparables as the year progresses, given the accelerating revenue growth rates we experienced in the second half of 2015. Consequently, we anticipate lower advertising revenue growth rates in each successive quarter in 2016. Additionally, we anticipate ad load on Facebook will continue to grow modestly over the next 12 months, and then will be a less significant factor driving revenue growth after mid-2017. Since ad load has been one of the important factors in our recent strong period of revenue growth, we expect the rate at which we are able to grow revenue will be impacted accordingly. Turning now to expenses. Based on our updated view of the remainder of the year, we are tightening our expense guidelines ranges. We expect that full year 2016 total GAAP expense growth will be approximately 30% to 35%, narrowed from our prior range of 30% to 40%. We expect full year 2016 amortization expenses to be approximately $700 million to $800 million, and full year 2016 stock-based compensation related expenses to be approximately $3.1 billion to $3.3 billion. Accordingly, we anticipate that our total non-GAAP expenses, which excludes stock-based compensation and amortization, will grow in the range of 45% to 50%, narrowed from our prior range of 45% to 55%. We anticipate full year 2016 capital expenditures will be approximately $4.5 billion as we invest to support the rapid growth of our business. Finally, we expect that our Q3 and full year 2016 tax rates will be similar to our Q2 rates. In summary, Q2 was another great quarter for Facebook, illustrated by the strong growth and engagement of our global community and continued broad-based strength of our ad business. We're pleased with the results, and we will continue to invest in order to best position Facebook for our long-term growth opportunities. With that, Chris, let's open up the call for questions.
Operator: Thank you. We will now open the lines for a question-and-answer session. [Operation Instructions] Your first question comes from the line of Eric Sheridan with UBS. Your line is open.
Eric J. Sheridan - UBS Securities LLC: Thanks for taking the questions. Maybe two. One on the video platform going forward and how you think about video as a distribution mechanism. How should we think about investments that need to be made in video on both technical infrastructure side as well as the sourcing of content type sort of broadened out the video offering over the next couple of years? And then maybe on the last comment on ad load, just wanted to go back to that for a minute in terms of what you're seeing on ad load by region, because we're seeing a widening gap in revenue per user between U.S. and Canada and the rest of the world. How much of that might be driven by ad load or ad products? Thank you so much.
David M. Wehner - Chief Financial Officer: Sure. I can take the question on video distribution as it relates to CapEx and the ad load question, and then maybe on the sourcing of content, I'll pass it back to Sheryl. So, on the video platform, clearly, from a investment perspective, you've seen us step up our CapEx this year pretty substantially. And that's baked into the guidance of $4.5 billion of CapEx which, if you recall, is at the high end of our prior range. We are investing across our infrastructure to prepare ourself for growth across all of our different services. And part of that investment is really to support video. That is definitely more taxing on the network and we're investing heavily on the network side. And as well, it does also impact our overall needs within the data center, servers and the like. So it's certainly an area that we're investing in heavily and we expect to be investing in heavily going forward, Eric. And then on the ad load question, ad load is not something that varies that dramatically by region. So you're really looking at a number of factors. Really what's driving that is just the dispersion of overall ad demand across region. And we're seeing really good strength across the globe on that front, but ad load is not a big driver of discrepancies in ARPU that you see. That's really something that maps very closely to the size of the mobile ad markets per population in those countries. So it's not an ad load question. And then I'll hand it over to Sheryl to talk about video from a content perspective.
Sheryl K. Sandberg - Chief Operating Officer & Director: When you think about what's happening on video on our platform, we're really excited by the production and consumption of video, and we're seeing the full range from people posting the things in their personal lives. The power of what a mobile phone can produce and distribute now is pretty incredible, when you compare it to just a few years ago, to some of the most sophisticated content producers in the world producing for us. We're experimenting across a wide variety of things. We're doing a partnership with the NBA to stream some U.S. Men's Olympic team games in the next couple of weeks. That said, our primary focus is on short form content, not long form content, and we're pretty excited to see the different forms of content people will create, both to share messages, to create new content and to engage audiences around the world.
Operator: The next question is from Douglas Anmuth with JPMorgan. Your line is open.
Douglas T. Anmuth - JPMorgan Securities LLC: Thanks for taking the questions. I just have two. First on engagement, obviously, the DAU and MAU numbers were strong. You gave the increase in the daily activity as well in the double-digits. But can you just give us some color on the user trends underneath that a little bit, and more specifically perhaps what you might be seeing in terms of younger users in different age demographics? And then secondly, just going back to the ad load, we have in the past heard some caution from you guys before in that area, and granted it was a few years ago and at a much earlier stage. But I guess my question is, if targeting continues to improve along with click-through-rate and then ultimately ROI, why does ad load have to become less of a factor going forward? Thanks.
David M. Wehner - Chief Financial Officer: Yeah, thanks. Thanks, Doug. On the DAU and MAU front, couple of things. One is DAU and MAU are up sequentially and year-over-year on all regions, and with trends that are largely consistent with past quarters. So, really good strong growth across the globe on a DAU to MAU ratio. We don't do specific break downs of those metrics by demographic. We're obviously pleased with our overall level of growth in engagement. On the teen front, younger users, we continue to be the best way to reach the largest global audience of teens and millennials. Teens remain very – remain engaged on Facebook. Clearly, how they've used our service has evolved over the years. And in addition to Facebook, they're using Instagram, Messenger and WhatsApp. So, from a teen perspective, that's some color there. On the ad load front, ad load is definitely up from where we were a few years ago. It has been an important driver of inventory growth. And really, I think one of the things that's enabled us to grow ad load has been improving the quality and the relevance of the ads, as you've mentioned. And we've been be able to do that without negatively impacting the user experience. We do expect that ad load will be a less significant factor driving overall growth, especially after mid-2017. The optimal ad load is really a mix of art and science. We've carefully tracked the impact of ads on the user experience over the last several years. We aren't seeing a cause for concern. We also want to be thoughtful about making sure that each person's overall feed experience has the right balance of organic and ad content. And that factors into how we think about ad load and where that might ultimately be. And that's really why we're talking about our expectation that as you get into mid-2017, ad load will not be a big factor in driving overall inventory growth. We still see the opportunity to grow inventory from the growth of people and engagement on Facebook, as well as our other services like Instagram. Instagram does have a lower ad load than Facebook.
Operator: The next question is from Brian Nowak with Morgan Stanley. Your line is open.
Brian Nowak - Morgan Stanley & Co. LLC: Thanks for taking my question today. I have two. The first one on the U.S. advertising, it was up particularly strong. Any specific ad category, branded, direct response, et cetera, or add unit like video that's driving this growth in the U.S.? And then the second one, just on Live video, recognizing it's very early with Live video, but any help at all on what percentage of your users are engaging with Live video and the type of uplift you're seeing on engagement? Thanks.
Sheryl K. Sandberg - Chief Operating Officer & Director: Our growth this quarter was very broad-based across all of the regions. We had especially strong growth in APAC and the U.S. and Canada, so that was part of the growth. In terms of our marketer segments from brands to direct response to SMBs to developers, the growth is really strong there as well. We're really excited today to announce that we have 60 million small business pages that are using Facebook on a monthly basis. And we're very focused on the opportunity to upsell them to advertising products. We think we have a good track record there. We're also seeing a lot of strength in brand. And I think that's because we have a combination of the creative and the story telling, so the art with the science of the targeting. And when people do that well together, you see great opportunities. So to share one example, Jack In The Box use our Canvas ads, which are very immersive ads. They're really good for a brand experience, to roll out a new menu item, their Double Jack burger. They worked with agencies Horizon, David & Goliath and Adaptly, and they targeted millennials on Facebook to create two different custom audience groups. One group was customers who had visited the restaurant web page or engaged with previous video ads. And the second group were people that hadn't engaged with them directly but were quick service restaurant purchasers. They had an average view rate of 23 seconds across those Canvas ads, so clearly people were really engaged in the brand experience of the ads, and they had a 13-point lift in add recall and a 9-point lift in purchase intent. And so I think what you're seeing is that across all of the objectives people have from brand marketers to direct response to SMBs to developers, as our ad products get more sophisticated, our targeting and measurements get better. They have an increased opportunity to grow, and that's why we think our growth to-date continues to be broad-based.
David M. Wehner - Chief Financial Officer: Yeah, and, Brian, I'll take the Live video question. It's hard to compete with the Double Jack burger. But in terms of Live video, it's really early. We're really excited about it in terms of it providing an authentic and real form of sharing for people, and we're really trying to give people the full range of tools to share what they care about with anyone that they want, and Live is really effective there. And we've seen experiences both in terms of a lighthearted like Candace Payne and also more serious, more serious issues around the U.S. and around the globe. So it's really an important part of what we're offering for people to share real experiences. Video as a whole is making a significant contribution to time spent growth. So, when we talk about the time spent per DAU growing worldwide across our family in double-digit percentages, video is making a contribution there more broadly.
Operator: The next question is from Justin Post with Merrill Lynch. Your line is open.
Justin Post - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Yeah, I have a couple. First, Mark, maybe on core Facebook, there's been commentary out there that maybe there's less personal sharing. Just maybe comments on the direction of Facebook? What the activities are going on, how you feel about that? And then just about the ad loads, I mean how are you deciding how much ads to show? Could you hold back a bit and drive higher pricing? How are you balancing that? And why not hold back a little bit more now for longevity there? Thank you.
Mark Elliot Zuckerberg - Founder, Chairman & Chief Executive Officer: Sure. So I'll talk about sharing, and then I think Dave can probably talk about ad loads and pricing. So, the overall level of sharing is up on Facebook. And what we're seeing is that how people share is evolving as we move from desktop to mobile, right. So you can imagine more photos on people's mobile cameras, fewer long full photo albums, more ability to capture video, probably a little bit harder to type on mobile. So there's this evolution. The other thing that we see is that now people have tools to share more privately as well. So when you think about sharing on Facebook, you shouldn't just think about the kind of sharing that you see in News Feed, right. So sharing with all of your friends, sharing in groups on Facebook and public sharing, which are the trends that I was just talking about. But another area that's growing incredibly quickly is private messaging, right, where between Messenger and WhatsApp, I think we're around 60 billion messages a day, which I think is something like three times more than the peak of global SMS traffic. So that is something that's growing pretty quickly and that we're really excited about as well. And we're just going to continue working on giving people the best tools across the spectrum from private to public, and across the spectrum from text-based and simple communication to richer type of media like photos, videos, and then, eventually, more immersive forms like VR.
David M. Wehner - Chief Financial Officer: Yeah, and Justin, in terms of ad load, we've talked about the different factors that go into it, obviously, just in driving the overall business. Advertiser demand, that was particularly strong this period, and then also we matched that with supply. And the supply – the two big drivers are user and time spent and then ad load. And getting the balance and mix right is important, and clearly, how the pricing plays out is via the auction. And we've had a good balance of demand growth and supply growth, and that's led to our good strong financial results and our ability to deliver very strong ROI to advertisers. So we think we're in a good zone on the right ad load, and we do think there's opportunities to grow that modestly. But as we look forward into 2017, we think it'll be a less significant factor driving inventory growth. But we still think there's opportunities to drive inventory through user growth and time spent. I don't think we would think about necessarily dropping ad load to drive pricing. We're also very cognizant of providing good value to advertisers, and getting that balance right is important to driving overall ROI, as well as obviously providing better targeting and measurement tools for our advertisers.
Operator: The next question is from Anthony DiClemente with Nomura. Your line is open.
Anthony DiClemente - Nomura Securities International, Inc.: Great. Thank you for taking my questions. I have one for Mark and one for Sheryl. Mark, you mentioned search in your prepared remarks, two billion searches a day on Facebook. I also noticed you said you're making it easier for users to connect to businesses. How far away are you from commercial search on Facebook being viable? Why can't you do that today? And how big of an opportunity could commercial search be? And then, Sheryl, you mentioned the expansion of the Facebook Audience Network. Can you talk more about the revenue opportunity of bringing Facebook's targeting tools to other video publishers? How fast is Audience Network monetization growing? Is it accelerating, for example, and how do you see the revenue opportunity of expanding the Audience Network across the mobile web as well? Thank you.
Mark Elliot Zuckerberg - Founder, Chairman & Chief Executive Officer: I can take search. So when we talk about our strategy, I often talk about how when we develop new products we think about it in three phases. First, building a consumer use case; then, second, making it so that people can organically interact with businesses; and then third, on top of that, once there's a large volume of people interacting with businesses. Give businesses tools to reach more people and pay, and that's ultimately the business opportunity. So, I'd say, we're around the second phase of that in search now. You know, we have a pretty big navigational use case where people look up people and pages and groups that they want to get to and look at in search. One of the big growing use case is that we're investing a lot in is looking up the content in the ecosystem, and that is an area that we're very excited about, which helps people find more content. But certainly there's a reasonable amount of behavior in there which is looking for things that, over time, could be monetizable or commercial intent. And at some point we will probably want to work on that, but we're still in the phase of just making it easier for people to find all the content they want and connect with businesses organically.
Sheryl K. Sandberg - Chief Operating Officer & Director: On the Audience Network, we continue to invest in ad tech, and the Audience Network is a key part of our focus there. We don't break out revenue by our different platforms. But the opportunity to take not just video ads, but other ad formats we have, bring them to the rest of the web and other apps with our ability to target and measure, we think is a big one. And what we're starting to see is that people are using Facebook, Instagram and Audience Network to drive their objective in a cohesive way. So to share an example, Garmin launched the Fenix 3 Sapphire watch, and they did it with videos ads on Facebook that worked without sound. They targeted outdoor enthusiasts then retargeted people who viewed the Instagram videos with Carousel ads on Facebook that highlighted the product features. Then they extended those ads on Audience Network to maximize reach, and they used the Facebook Pixels to measure the incremental sales, and got to a 9.7 times return on ad sales. So that's a really good example of how you can take targeting and the ability to target across Audience Network, Facebook and Instagram and drive people all the way down the funnel. And we think more and more people will do that, particularly as we do a better job of combining the interfaces. So, for example, you can buy now in one interface on Facebook, Instagram and Audience Network.
David M. Wehner - Chief Financial Officer: And then, Anthony, just one thing to add on top of that, just the – we recognize the majority of our third-party advertising revenues of the Audience Network on a net rather than gross basis. So that will also minimize the impact that will have on the top line.
Operator: The next question is from Mark Mahaney with RBC Capital Markets. Your line is open.
Mark Mahaney - RBC Capital Markets LLC: Mark, when you see the what seems like phenomenal success of Pokémon Go, what are your reactions to that? And then, David, could you talk about the monetization ramp that you're seeing on the messaging platforms? I know it's still very early days. Anything in there that strike you as being particularly substantive for material yet? Thank you.
Mark Elliot Zuckerberg - Founder, Chairman & Chief Executive Officer: Well, I, like everyone else, am enjoying Pokémon Go. And the biggest thing that I think we can take away from this as we invest in augmented reality in addition to virtual reality, is that the phone is probably going to be the mainstream consumer platform that a lot of these AR features first become mainstream rather than glasses form factor that people will wear on their face. So I think we're seeing this in a number of places, whether it's location through Pokémon or some of the face filter activity. I referenced the MSQRD app that we acquired earlier in my remarks. That's a kind of a fun way to augment. You know, social experience that you're having with someone. I think that there's a big opportunity to build out that platform and a lot more functionality around that. And one of the big themes that we're talking about here is becoming video first, right, and as people look for richer and richer ways to express themselves just like people in the past just shared a lot of text and photos on Facebook, we think that in the future more of that is going to be video. And more of these augmented reality tools I think are going to be an important part of delivering that experience to making that fun to use and expressive as it can be.
David M. Wehner - Chief Financial Officer: And, Mark, we've talked about our strategy on how we go about monetizing the different apps in our portfolio, and we usually talk about it in terms of three phases. Phase one is really growing the user base and engagement. And we're really pleased with where we are with Messenger and WhatsApp in that perspective with it's over 1 billion monthly actives. The second phase is really working on buildings organic interactions between businesses and consumers; and then finally, the third phases is about building those commercial opportunities. With Messenger, we're really at the beginning of phase two. Messenger today has 1 billion organic interactions between businesses and consumers each month. But in terms of where we are in having in terms of actual monetization, incredibly early on that front. We're really in the – in that phase two where we're really talking about building those organic interactions.
Operator: The next question is from Heather Bellini with Goldman Sachs. Your line is open.
Heather Bellini - Goldman Sachs & Co.: Great. Thank you very much. I was wondering, and I guess this is a follow up on Anthony's question. Is there a way to think about maybe the percentage of your kind of top 100 customers, or however you want to define it, that might be using FAN as an ad on to their Facebook spending? I guess I'm wondering if you're seeing increasing leverage of FAN. And then the other question would just be political spending, obviously, wasn't a big driver for you guys in 2012, but it does seem like it is potentially a great opportunity in the back half of the year. I was just wondering if you could comment on that at all. Thank you.
Sheryl K. Sandberg - Chief Operating Officer & Director: On the political spending, our business is broad-based, not that no one event drives our business, we're pretty large and diversified. And while the political campaign, obviously, a lot a money is spend in ads. That's also true of an Olympics; it's true of a World Cup, it's also true of a Super Bowl. And so, with all of these events taking place around the world, there's no one event that we think drives a huge portion of revenue. That said, we are pleased by what's happened on Facebook for the elections cycle, not just on the paid side but actually on the organic side as well. We really see Facebook being embraced by politicians all over the world to get in touch with their constituents. And we're pleased with that. Every member of Congress right now has a Facebook presence. And we're seeing people like, one example is Elise Stefanik, the youngest person in the Congress. She made a pledge when she was elected that she would explain every vote she takes, and she explains every vote she takes on Facebook. With shorter explanations if they're not controversial but longer explanations. That's the kind of mission based work that we're happy about because it brings people closer to the people who are representing them. We don't break out how many advertisers are advertising on the Audience Network, but we're seeing solid and growing adoption of the Audience Network across the board, as we are with Instagram. And we think all of these platforms together really help give us the ability to serve our clients in a very leveraged way, and use the targeting and measurement capabilities we have invested in across multiple platforms.
Operator: The next question is from Carlos Kirjner with Bernstein. Your line is open.
Carlos Kirjner-Neto - Sanford C. Bernstein & Co. LLC: Hi. Thanks for taking my question. First, some people believe that much of what users see in their News Feed is driven by their behavior and preferences. And as a consequence, the stories they end up seeing are always, or almost always, in line with their existing views and preferences. Does this phenomenon in the end increase – does this phenomenon lead to increased adoption in use of Facebook creating more polarization of views and less effective communication, at least in some areas of people's lives? Mark, how do you think about this line of thought that because people see things that they are already in line with what they believe, communication is hindered? Second, when it comes to video ad formats, are you philosophically opposed to pre-rolls, and if yes, why? And if not, what is missing for you to adopt that? Thank you.
Mark Elliot Zuckerberg - Founder, Chairman & Chief Executive Officer: So we have studied the effect that you're talking about, and published the results of our research that show that Facebook is actually, and social media in general, are the most diverse forms of media that are out there. And basically what – the way to think about this is that, even if a lot of your friends come from the same kind of background or have the same political or religious beliefs, if you know a couple of hundred people, there's a good chance that even maybe a small percent, maybe 5% or 10% or 15% of them will have different viewpoints, which means that their perspectives are now going to be shown in your News Feed. And if you compare that to traditional media where people will typically pick a newspaper or a TV station that they want to watch and just get 100% of the view from that, people are actually getting exposed to much more different kinds of content through social media than they would have otherwise or have been in the past. So it's a good sounding theory, and I can get why people repeat it, but it's not true. So I think that that's something that if folks read the research that we put out there, then they'll see that. What was the other question?
Unknown Speaker: Pre-roll.
Mark Elliot Zuckerberg - Founder, Chairman & Chief Executive Officer: Oh, pre-roll. I can take that one too. So we don't think it would be a good experience in News Feed, right, because a lot of when people are finding videos on Facebook is you're scrolling through News Feed, you're looking at what story seems interesting to you, which is why we did the auto play videos so that rather than having to take an action, you can just start experiencing the video automatically and continue watching it if it's something that you're interested in. But if we started playing an ad in the middle of a feed before you got to the video, then that would really go against that. I think people just would watch a lot less of the organic videos that were posted because of that. But the important thing to keep in mind on this is we don't really – we don't need to do pre-roll because our model is not one where you come to Facebook to watch one piece of content, you come to look at a feed and putting the ads in between the stories is a much more effective way to do it and better for the user experience.
Operator: The next question is from Ross Sandler with Deutsche Bank. Your line is open.
Ross Sandler - Deutsche Bank Securities, Inc.: Great. I had two product related questions for Mark. So, Mark, you guys mentioned when you released the latest Instagram MAU crossing the 500 million mark, you give out the breakdown of U.S., international. It looks like U.S. has been around 100 million for about the past nine months. So is that just a pause along the growth path or is there something else that you're seeing that's causing that growth to stall out a bit in light of what you just said about engagement being up since you did the algorithm reranking? Any color there would be helpful. And then the second question is just any update on Messenger M and how do you see that product potentially impacting engagement monetization on Messenger? Thanks.
David M. Wehner - Chief Financial Officer: On any update on M, I can start with that one. Do you -
Mark Elliot Zuckerberg - Founder, Chairman & Chief Executive Officer: I was going to take that one.
David M. Wehner - Chief Financial Officer: Oh. You were going to take that one? On the Instagram MAU question, I don't think we're breaking out by region Instagram MAU. So, no, I don't think there's any update there that I'm aware of.
Mark Elliot Zuckerberg - Founder, Chairman & Chief Executive Officer: Okay. Yeah, so we just haven't updated that.
David M. Wehner - Chief Financial Officer: Yeah, all right.
Mark Elliot Zuckerberg - Founder, Chairman & Chief Executive Officer: Yeah, so for M, we've released the Messenger platform M bot in the last six months – F8 was the big announcement there. And I think since then, I think we've announced we have more than 10,000 bots in the system, which are basically making it so that different businesses can build automated ways to communicate with people. The way we think about this experience is that, qualitatively, I don't know a single person really who wants to call a business to get support or interact with it. Whether that's trying to get a reservation for a restaurant or getting customer support or calling to buy something. And those are slow interactions. They're synchronous. They consume your whole attention while you're doing them. And if we can make it so that you can have some of those interactions in an automated way where you fire off a text and then just get a response back quickly, but asynchronously so it doesn't take up your full attention, then I think that's going to be a much better experience that people really enjoy and like. So we're in the experimentation phase I think with the platform. We're seeing a lot of good ideas getting tried out. And I personally enjoy a lot of the different bots that people are using or making, especially the news one where you get these digests at the end of the day of different kinds of content. And between that and M, which is kind of our own internal bot that we're building, I think that this is going to be an interesting area to watch and encourage more interaction between people and businesses and messaging.
Operator: The next question is from Ben Schachter with Macquarie. Your line is open.
Benjamin Schachter - Macquarie Capital (USA), Inc.: Couple of questions for Mark. The first one, what are the lessons you're learning from seeing the growth of Snapchat and some of the other newer networks, particularly among young people? And obviously Facebook is continuing to do well but these things are growing. And then second, related to video, what are the key problems that you really think you need to solve for consumers and video producers and how is Facebook going to evolve to help solve those problems? Thanks.
Mark Elliot Zuckerberg - Founder, Chairman & Chief Executive Officer: Sure. And they're related. So, overall, people are spending more and more time on mobile, and that means that there are always more services that people use whether it's YouTube or there's some really interesting ones with younger folks, especially like musical.ly and live.ly that I think are pretty interesting as well, the Snapchat, which you mentioned. And part of why I think you see this is that there are just so many different ways that people want to share so many different kinds of content, ranging from text to photo to video, just richer and richer and more immersive content. And also there's a range from private one-on-one type sharing to small groups, all of your friends at once, large interface communities, and then ultimately fully public. And there are different apps that explore different regions of that space and do a good job with it, and offer ideas that I think the whole market needs to learn from. Right now, the big theme and strategy that we're executing is we're going to become video first. And what I mean by that is that there's this trend where ten years back, most of what you saw and shared online was text, and then we went through a phase where most of it is photos. And we really believed that, and call it five years, or whatever the period of time that it takes to get there, I think most of what people consume online is going to be video. And that means that there needs to be a whole range of new production tools and consumption experiences for enabling that. For production, I think that means that you need to get the camera experience, and the experience for capturing and uploading videos that you've captured to be much better in a more central part the of the experience. On consumption, there are innovations that we've had like auto play in feed, but what's the next version of that, that makes it so that people can have an even more native and default video experience when they're in News Feed, as well as private areas like Messenger and WhatsApp. So I think you're going to see this across all of our apps. More focused on producing this kind of content, and making it first class to consume as well, both in private and public context. And I think that that's just a big trend across the market, and one of the big things that if we get right, I think it's going to unlock a lot of sharing and opportunities.
David M. Wehner - Chief Financial Officer: And then just following up on Ross's question on Instagram in the U.S., because I think Ross, you were asking, we've provided some rough percentages around international and U.S., and I just wouldn't – I wouldn't – those are very approximate, and I wouldn't base any trending on that, on those percentages.
Operator: The next question is from John Blackledge with Cowen & Co. Your line is open.
John Blackledge - Cowen & Co. LLC: Great. Thanks. For Instant Articles, I think it went live globally for all publishers around the time of F8 in April. Just wondering if you can provide an update on the progress and how you see Instant Articles evolving over the next couple of years? And then maybe Dave, on the 49% year-over-year impression growth, how much of that was driven by ad loads? Thank you.
Mark Elliot Zuckerberg - Founder, Chairman & Chief Executive Officer: If I can take Instant Articles quickly. I think it's going well. It's a good user experience. People like it. The hypothesis when we rolled it out was that if we removed the latency, which is often 10 seconds to 15 seconds of opening up a web view from News Feed that more people would read news. I think the initial data suggests that that's probably true. So that's good. We're getting more partners on. And over the long-term, I think one of the big things that we need to do is see if we can not only make this good for engagement for our partners, but also a really positive business driver for them too. So that's something that I'm excited about, and we'll hopefully have more news on that coming up.
David M. Wehner - Chief Financial Officer: So, on the 49% year-over-year growth in impression, we're not providing a specific break down there. I would say that it's primarily driven by growth in Facebook mobile News Feed. We've talked about the drivers of supply being growth in DAU, growth in time spent per DAU and ad load, and obviously, we've given stats around rough stats around – we've given specific stats around DAU. We've talked about time spent per DAU being up double-digit. So I think you can make some assumptions around that. So that's probably the way to triangulate on that. I think we have time for one more question, Chris.
Operator: Certainly. The final question is from Mark May with Citi. Your line is open.
Mark A. May - Citigroup Global Markets, Inc. (Broker): Thanks a lot. I had two as well. You probably won't give specific revenue numbers, but just if you're – if you kind of, in aggregate, look at some of the non-Facebook app revenue streams, if it is FAN, Instagram, et cetera. Curious to get a sense of the traction and materiality of those. Would you expect, Dave, that in aggregate, those would become kind of material, meaning that sort of 10% plus threshold sometime this year? Just trying to get a ballpark sense of the level of traction and diversification of revenue outside the core Facebook app. And then along the lines of your commentary around ad load, how should we be thinking about, your MAUs are obviously very significant, DAU to MAU quite high. Do you continue to see that as being a primary driver of ad impression and ad revenue growth going forward as well? Thanks.
David M. Wehner - Chief Financial Officer: Yeah, thanks, Mark. Like you said, we're not specifically breaking out revenue numbers. One thing to just keep in mind is Instagram is known and operated property is represented gross in our revenue, so whereas as I mentioned the Audience Network is by and large going to be recognized net rather than gross. And so that is going to make it smaller in how it's going to appear in the revenue numbers. The overall growth is still being driven predominantly by Facebook. Instagram is clearly making a contribution and as is the Audience Network. In terms of ad load, as I said, it's been one of the factors driving supply, so it certainly has been helpful. But there's also DAU growth and time spent per DAU growth so time spent per person. And we continue to feel that there are opportunities to execute on those and to continue to grow inventory in that way. So that's where we would focus. You know, as we drive DAU faster than MAU, then that's going to increase that ratio, but we're really focused on driving DAU and time spent per person.
Deborah Crawford - Director-Investor Relations: Great. Thank you for joining us today. We appreciate your time, and we look forward to speaking with you again.
Operator: Ladies and gentlemen, this conclude today's conference call. Thank you for joining us. You may now disconnect your lines.